Operator: Welcome to the OMV Group's Second Quarter 2024 Results Conference Call and Webcast. After the speaker’s presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. At this time, I would like to refer you to the disclaimer, which includes our position on forward-looking statements. These forward-looking statements are based on beliefs, estimates and assumptions currently held by and information currently available to OMV. By their nature forward-looking statements are subject to risks and uncertainties that will or may occur in the future and are outside of control of OMV. Therefore, recipients are cautioned not to place undue reliance on these forward-looking statements. OMV disclaims any obligation and does not intend to update these forward-looking statements to reflect actual results, revised assumptions and expectations and future developments and events. This presentation does not contain any recommendation or invitation to buy or sell securities in OMV. I'd now like to hand the conference over to Mr. Florian Greger, Head of Investor Relations. Please go ahead Mr. Greger.
Florian Greger: Good morning, ladies and gentlemen. Welcome to OMV's earnings call for the second quarter 2024. With me on the call are our CEO, Alfred Stern; and Reinhard Florey, our Chief Financial Officer. As always Alfred will walk you through the highlights of the quarter and discuss OMV's financial performance. After his presentation both gentlemen will be available to answer your questions. And without further ado, I hand it over to Alfred.
Alfred Stern: Very good. Thank you, Florian. Just to check and make sure. I assume you can hear me?
Operator: We can hear you loud and clear.
Alfred Stern: Excellent. Very good. So apologies also from my side for the short delay. I'm glad that we could make it work. Ladies and gentlemen, good morning and thank you for joining us. OMV has continued to deliver solid results while advancing our strategy 2030. We were able to increase both our clean CCS operating results and our cash flow from operations compared with the second quarter of last year. Looking at the first half of this year, we generated a strong cash flow from operations of €3 billion, an increase of 3% compared to the same period last year. This is a good basis to continue to reward our shareholders through attractive distributions and invest in the transformation and growth of OMV. In the second quarter, we saw Brent crude oil prices averaging $85 per barrel, 9% higher than the prior year quarter and slightly higher than in the previous quarter. Prices have been mainly driven by OPEC+ supply management, offsetting the slowdown in global oil demand and fading geopolitical risk premium. Consequently for a sustained period Brent prices did not drop below $80 per barrel, which is currently seen as a floor price for OPEC+. European gas prices rose gradually over the quarter to an average of €31 per megawatt hour due to a combination of factors, including renewed supply concerns regarding Norway and uncertainties related to deliveries of Russian gas. However, compared to the prior year quarter, gas prices were 12% lower. Overall gas demand in Europe remains subdued, primarily due to strong renewable power production. As a result regional LNG imports have stayed significantly below the levels of the same period last year. At the end of June, the storage levels in Europe were at 77% consistent with the prior year levels. The European refining indicator margin declined to $7 per barrel, which was slightly below the second quarter of 2023 and approximately 35% lower than the previous quarter. The decline versus the previous year was driven by weaker gasoline cracks and higher crude oil prices. Gasoline crack spreads started weakening in the second half of the quarter as US demand was lower than anticipated, while refinery run rates were elevated globally thereby increasing product availability. Olefin indicator margins in Europe, improved from the previous quarter, due to limited supply caused by outages and closures of European crackers. However compared to the prior year quarter, olefin indicator margins were 11% down. While European demand was slightly better, than the historic lows, recorded in the prior year quarter and contract prices increased, the naphtha cost rose more rapidly resulting in a decrease of olefin margins compared to the prior year quarter. Polyolefin indicator margins increased compared to both the previous quarter and prior year quarter. The polyethylene margin in particular rose strongly year-over-year by 37% which was supported by fewer imports from the Middle East and Asia due to supply chain bottlenecks in the Red Sea and Panama Canal. The clean CCS operating result grew by 4% to €1.23 billion, compared to the prior year quarter. This growth was primarily driven by a substantial improvement in Chemicals of more than €100 million as well as higher results in Fuels & Feedstock on the back of a higher utilization rate. The performance of the Energy segment declined by around €80 million, due to a lower result in Gas Marketing & Power. Clean CCS earnings per share, rose by 5%, as the clean CCS tax rate was stable at 46%. Cash flow from operating activities increased by almost €1 billion, compared to the second quarter of 2023, when we made high tax payments in Norway related to the extraordinarily high commodity price environment of 2022. The utilization rate of our refineries increased to 89%, a significant improvement compared to the previous year's quarter which was impacted by the planned turnaround at Petrobras. The utilization rate of the steam crackers remained stable at 83% outperforming the average European rates. Polyolefin sales volumes rose by 13% year-over-year, driven by improved demand market share gains and higher volumes at Borouge and Baystar. Fuel sales volumes increased slightly as well. In the Energy segment oil and gas production was 4% lower year-over-year, mainly due to reduced volumes in New Zealand, Norway and Romania. We continued to execute our strategy and made further progress in the transformation of our company. Let me highlight some major milestones reached in the second quarter. In Chemicals, we have completed the construction of our flagship ReOil recycling plant with a capacity of 16,000 tons per year. And we will work on gradual start-up in the second half of this year. Last week, Borealis in a consortium with Borouge and ADNOC, signed a collaboration agreement with Wanhua Chemical Group, a leading Chinese chemical company for a feasibility study to develop a 1.6 million ton per year state-of-the-art polyolefin complex in Fuzhou China. If realized this polyolefins complex will accelerate the parties' growth ambitions in the region and meet the growing demand for sustainable and innovative polyolefin solutions. Borealis', proprietary Borstar technology, is planned to be at the core of the project enabling the development of products that are well suited to drive the transition toward a circular economy for plastics. Furthermore, this morning we announced the collaboration with Clariant, to explore the supply of sustainable ethylene and develop new strategies to meet sustainability targets in the ethylene supply chain. In Fuels & Feedstock, we commenced operations at the co-processing plant in Austria with a production capacity of 135,000 tons per year. We also took the FID for a SAF/HVO plant in our Petrobrazi refinery in Romania. The plant will have a production capacity of 250,000 tons per year and is expected to start up in 2028. The market for renewable fuels will gradually rebalance as demand for HVO rises in the European Union, due to legislation, which stipulates that greenhouse gas reduction targets will increase. For example, in Austria, it will increase from 7% to at least 13% by 2030. To keep up with the above 7% threshold, producers will mainly be able to use HVO or e-mobility offsets to meet road fuel-based greenhouse gas reduction targets. As a result, we anticipate a tight HVO market after 2027. OMV Petrom closed the acquisition of Renovatio Asset Management and now owns the largest charging network for electrical vehicles in Romania of more than 750 points, and aiming for around 1,000 by the end of the year. We also completed the acquisition of filling stations in Austria, which will serve the commercial road transport sector with corresponding high diesel sales volumes. This move strengthens the integration of our refinery operations, while enhancing the coverage of our network. In Energy OMV and its partners Var Energi and Lime Petroleum received a second carbon storage license in Norway. The injection capacity of the license is expected to exceed 7.5 million metric tons of CO2 per year. OMV Petrom signed a new acquisition of photovoltaic projects in Romania expanding the partnership with Renovatio through the ownership of a 50% stake in renewable energy projects amounting to 130 megawatts. With this new transaction, the total joint portfolio held by the two partners exceeds 1.1 gigawatts. Also, this morning we announced that OMV has acquired seven terawatt hours per year natural gas transport rights into Austria for the period between October 2026 and September 2028, in addition to the 20 terawatt hours per year acquired in the European auction last summer. OMV has also acquired 15 terawatt hours transport rights for the period between October 2028 and September 2029. Let me now come to the performance of our business segments. Compared to the second quarter of 2023, the clean operating result of Chemicals grew by €107 million. This growth was primarily driven by a positive development of inventory effects higher polyolefin sales and improved results from the Borealis joint ventures. The divestment of the Nitro business mid last year also had a supporting effect as the business had a negative result of €35 million in the second quarter of 2023. In our European business, we recorded negative market effects of €25 million attributable to decreasing olefin indicator margins partially compensated for by the positive development of the polyolefin indicator margins. The overall result was supported by a significant improvement in the inventory effects of around €80 million compared to the prior year quarter. At 83% the utilization rate of the European crackers was stable compared to the previous year quarter. The result of OMV's olefin business was impacted by weaker indicator margins and higher discounts to customers. The result of the Borealis olefin business was supported by positive inventory effects and an improved light feedstock advantage, at our Nordic crackers. The second quarter of 2023, benefited from the receipt of an insurance compensation payment related to the Schwechat incident. The performance of the polyolefin business improved, supported by a positive development in inventory valuation effects and higher sales volumes, which rose by 10%. The increase was visible in all industries covered by Borealis and it was driven by a combination of factors: growth in market share, additional business from recent acquisitions, improved demand and constrained supply as a result of the logistical bottlenecks, limiting imports into Europe. Absolute realized margins rose for both standard and specialty products, with the latter experiencing a more significant rise. The contribution of the joint ventures grew by €17 million driven by the stronger performance of Borouge thanks to increased sales volumes. We also saw a rise in sales volumes at Baystar attributable to the ramp-up of the Borstar PE plant. The cracker has been running at high utilization rate in the second quarter, and we anticipate this to continue. The new PE plant utilization rate was above 50% in the second quarter, and continues to ramp up. However, the Baystar results declined slightly compared to the second quarter of 2023, owing to higher planned depreciation and interest expenses, associated with the new assets. The clean CCS operating result of Fuels & Feedstock increased to €308 million, mainly driven by a higher refinery utilization rate, partially offset by a reduced contribution from ADNOC Refining and Trading. The refining utilization rate increased by 16 percentage points to 89%, as the second quarter of 2023 was impacted by the turnaround at the Petrobrazi refinery. Our Retail and Commercial businesses continued to perform strongly. Total sales volumes improved by 4% primarily due to higher commercial volumes, partially offset by lower retail volumes due to the divestment of the Slovenian network. Excluding this divestment, the retail performance was slightly higher than in the second quarter of 2023, attributable to increased fuel sales and an increased contribution from the nonfuel business. The contribution from ADNOC Refining and Trading decreased significantly by €72 million impacted by weaker refining margins. In addition, the prior year quarter benefited from a positive one-off effect. The clean operating result of the Energy segment decreased by 9% to €817 million due to a significantly lower contribution from Gas Marketing & Power. OMV's realized oil price rose by 9%, the same as the Brent price while the realized gas price declined by 19%. Overall, we recorded positive market effects of €34 million versus the prior year quarter. Production volumes decreased by 15,000 BOE per day. This was mainly a consequence of lower production in New Zealand, due to unplanned outages and lower well productivity, natural decline and planned maintenance in Norway, as well as natural decline in Romania. The production cost rose slightly to $10.2 per barrel mainly because of lower production partially compensated for by efficiency improvement measures. Sales volumes remained nearly stable despite lower production supported by the lifting schedule in Libya. The result of gas marketing and power declined significantly by €131 million, which was mainly attributable to a sharp decrease in the contribution from Romania. The Gas East result reflected decreased prices and margins and a negative effects of changes in legislation, starting April 2024, mainly related to CO2 costs which can no longer be recovered. In addition, the prior year quarter had benefited from a reversal of a provision in the magnitude of a mid-double-digit million euro figure. Turning to cash flows. Our second quarter operating cash flow amounted to around €1.2 billion, substantially higher than in the second quarter of 2023 where we paid the tax liabilities in Norway related to the extraordinarily high price commodity environment of 2022. The net working capital effects in the quarter were positive and amounted to around €300 million. We received dividends totaling €225 million from Borouge and €35 million from ADNOC Refining and Trading. Looking at the half year picture, at €3 billion, the cash flow from operating activities increased by 3% compared to the same period last year, supported by strong cash generation in the underlying business and despite significantly lower net working capital effects. Our free cash flow in the first half of 2024 was impacted the outflow related to the payments of full year dividends and thus turned negative to roughly minus €545 million. In the second quarter, we paid the full year regular and special dividends to OMV shareholders along with dividends for minority shareholders in OMV Petrom and Borealis and payments to hybrid bond holders. Despite this, our free cash flow improved by 28% compared to the first half of 2023. Moving on to the balance sheet. In the second quarter, our net debt temporarily increased to €3.3 billion and our leverage ratio to 12%. The second quarter is the quarter with the highest yearly cash outflows due to the payment of the annual dividends plus the payment of the solidarity taxes in Romania relating to 2023. We expect the leverage ratio to decrease again in the second half of the year, taking into account the divestment of our Malaysia business for an overall cash consideration of $903 million. In the second quarter, we decided to redeem €500 million of hybrid notes at its first call date. The fair value of the hybrid bond was reclassified from equity to short-term bonds and consequently repaid, thereby, negatively impacting the leverage ratio. In addition, we redeemed an additional €500 million of bonds. At the end of June 2024, OMV had a cash position of €5.4 billion and €4.3 billion in undrawn committed credit facilities. Let me conclude with an updated outlook for this year. We maintained the full year Brent price estimate at around $85 per barrel and have upgraded our gas price estimates. We anticipate the gas price to be higher than previously assumed now between €30 and €35 per megawatt hour. Consequently, the OMV average realized gas price is expected to be around €25 per megawatt hour. In Chemicals, we are reconfirming our full year guidance for the olefin indicator margins and upgrading the outlook for the polyolefin indicator margins given ongoing disruptions to global supply chains. We now expect the full year polyethylene indicator margin to be above €400 per ton, while the polypropylene indicator margin is estimated to be around €400 per ton. Borealis polyolefin sales volumes excluding JVs are unchanged at 3.9 million tons, an increase of more than 10% versus last year. In Fuels & Feedstock, we uphold our full year guidance of around $8 per barrel. We maintain our expectation that total fuel sales volumes will be above the 2023 level. Our Retail and Commercial businesses accounted for around half of the earnings of the Fuels & Feedstock segment in the first six months of 2024. We expect their strong performance to continue in the second half of this year with the third quarter being the most robust seasonally. Because of a lower refinery utilization rate in the first half of 2024, we are adjusting our full year utilization rate to around 90%. In the second half of this year, we expect an increased utilization rate of significantly above 90%. In Energy, we expect production to be higher in the third quarter, given the start-up of the Jerun field in Malaysia which will be partially offset by a slightly lower production in Romania due to planned maintenance. The closing of the divestment of our Malaysian assets is subject to government and regulatory approvals and is now expected in the second half of the year. Looking at cash flows, in line with Borouge announcement of dividends for 2024, we expect to receive around €200 million dividend in the second half of the year, as the first payment for the 2024 fiscal year. The guidance for the clean tax rate for the full year remains unchanged at around 45%. Before I conclude, I would like to point out our good performance in operating cash flow in the first half of this year, up by 3% compared to the same period in 2023. Based on this strength and our positive outlook for the second half of the year, we are confident in delivering a progressive regular dividend and a special dividend for 2024. It is highly important to us to continue rewarding our shareholders with attractive distributions. Thank you for your attention. And now Reinhard and I will be happy to take your questions.
A - Florian Greger: Thank you, Alfred. Let's now come to your questions. [Operator Instructions] The first question this morning comes from Josh Stone, UBS. Please go ahead, Josgh.
Josh Stone: Yeah. Thanks. Morning. Two questions please. Firstly, on gas trading. Just wanted to pick up on the outlook there because it seems like there's a number of moving parts. You've got the legislative change in Romania, but also this quarter you took a provision related to transport in the Western segment. So can you just talk about -- walk us through the outlook for the second half of this year? What are the key moving parts? And in particular, how should we think about transport provisions as you continue to shift supply away from Russia -- or supply sources away from Russia? And then secondly, on M&A and I won't ask about ADNOC. But at your recent CMD you did highlight you're looking at other opportunities in chemicals in Asia. And in North America, you've recently announced a feasibility study in China for a new facility. So should we consider that's the opportunity you're referencing to in Asia? Or are you looking at other countries in Asia as well? And maybe you could just talk about what sort of opportunity sets are looking like in North America or anywhere else you're looking that would be great? Thanks.
Alfred Stern: Okay. Good. Thank you, Josh. Let me start with your M&A and the strategic question and then maybe Reinhard can help me out on the moving pieces of the gas result. The – what we said – what we confirmed in the Capital Market Day is that in Chemicals in particular, we are looking for geographically expanding. And of course, the Baystar project that is in ramp-up is one key part of this. The Borouge Wanhua project is another part. Now we have announced such a feasibility study, right? And I want to emphasize it's a feasibility study that we are doing, lots of work needed to be done before we can decide anything in there. The feasibility study in China together with a consortium on our outside Borouge ADNOC Borealis, and Wanhua on the other side to look at establishing something. In general, I can say that we will look at M&A to accelerate our transformation to move forward faster than we have in our organic growth plans in the strategy. But of course these inorganic opportunities need to serve the purpose and deliver the right profitability criteria. We stay committed to this. We continue to look out at other pieces. I mentioned for example, Renovatio in Romania was one piece where we accelerated basically the entrance into electric charging. There's other M&A activities going there in terms of photovoltaic and wind that we have published. Beyond this there is currently nothing that we can specifically announce. But of course, we are always having open eyes for any potential opportunities.
Reinhard Florey: Yes, Josh. And maybe to your first question about the outlook at gas trading. I think two factors to be taken into account. The first is if we are taking the levels of the Gas East business in Romania. We have to see that there has been a temporary regulation until end of 2024 that came into effect with 1 April. So with the beginning of the first – of the second quarter, that lowered the possibility for instance to recover CO2 costs. And therefore, the overall results will be on a lower level. And that is not only from the gas trading but that's also from the power business that we have in there, where we have also some limitations there. This is an area where we expect levels of Q3 and Q4, more or less being on the same level in Gas East than Q2. However, when it comes to transport provisions, transport provisions have been taken at a mark-to-market valuation perspective. And if they are seasonally out of the money then we have to take this provision. But we very confident that this will come back. And this is not something that will first of all continue. On the contrary, we think that this will actually come back and contribute to our results.
Florian Greger: Thanks a lot, Josh. We now come to Matt Smith, Bank of America. Sorry I've just heard that the next question is from Sasi Chilukuru, Morgan Stanley. Sasi, please go ahead.
Sasi Chilukuru: Hi. Thanks for taking the question. I have two, please. The first was on petrochemical margins. We've seen another upgrade of polyolefin margins. I was just wondering, if you could let us know how much of this latest upgrade was related to stronger-than-expected 2Q margins? And how much is it looking forward as well? What level – what margin levels are you currently seeing? And if you could also highlight where you're seeing improved demand in Europe and how sustainable this pickup is that would be helpful. The second was regarding Baystar. We've seen rising sales volumes and ramp up of the Borstar PE plant. When should we start seeing dividends come from this JV? And when they come, what level should we expect as well? If I could slip a very small one, it's just a clarification. The Petrobrazi plant, which has been turned around in 2Q, so just wondering if that is completed and now it's fully available at 100% in 3Q?
Alfred Stern: Okay Sasi, thank you for the questions. Maybe let me start third question, because it's easy to answer. The Petrobrazi refinery turnaround, that was in 2023, right? So the higher utilization quarter two of 2024 benefited from that difference. So there was no turnaround. This year it's fully available for production. High utilization rate actually. Then let me comment on the petchem margins where we did actually see both in quarter one, but then also in quarter two healthy polyolefin margins, right? So it's a little bit different between olefin and polyolefin margins. We have seen that the polyolefin margins have actually developed quite positively in -- widening also in the second quarter. We believe that is a mix of different kind of causes here. One is, of course, slightly improved demand. We have actually seen that our sales volumes of polyolefins are about 10% higher in the second quarter compared to last year. That is a positive sign but not all of it is market growth. Some of it is a market share gain, and some of it is also a benefit of limited supply chain capability to import into Europe. So that is helping here. But in any case, widening polyolefin margins are a result of this. In July we have seen that margins continued to be steady compared to June, more or less also on the Q2 average. The olefin prices, they also rolled over in July, which resulted a little bit in the margin squeeze, because the naphtha prices went up. So as we show the reason for our upgraded outlook here is really that we expect -- so over €400 per ton now for polyethylene and around -- so upper end of the previous range around €400 per ton for polypropylene clearly indicates that we see this situation to persist for some longer time. So we have a more optimistic outlook if you want then for the rest of the year. Also, you probably picked up we were able to -- Borouge was able to increased sales volumes and hence also a significantly stronger results compared to last year. And last but not least on your question around Baystar. For Baystar, I can say the following good news that the cracker is now and has been running for a while at high utilization rate and we expect to keep this up for the second half of the year. The new Borstar polyethylene plant, on the other hand, is in the ramp-up phase as well and has reached utilization rate now of about 50% in the second quarter, which is then resulting in those increased BE sales volumes that you saw. We expect that we continue to ramp up on the polyethylene plant as well that the production will become more and more stable and more and more volumes that are produced will be on spec, which means that we will also be able to improve the commercial performance compared to the ramp-up activities that we have here now. So in terms of contribution, I believe 2025 will be a more relevant meaningful year for Baystar with both the cracker and the new plant running then at high utilization rates.
Reinhard Florey : And maybe to add to that Sasi. You asked whether we are expecting dividends soon. Actually, as Alfred said, we have clearly made progress. For the first time, we have not only seen positive EBITDA, we have seen positive EBIT in the Baystar and we are making progress. Nevertheless, we will probably in 2025 still dedicate the results -- the good results we are expecting to deleverage the company before we then start paying dividends somewhat later on.
Sasi Chilukuru: Thank you.
Florian Greger : Thank you very much Sasi. And now we come to Matt Smith, Bank of America. Matt, please go ahead.
Matt Smith : Hi. Good morning. Thank you very much for taking my questions. I have a couple of please. The first one was on the topic of M&A, again, but actually in regard to the energy business the upstream business. I know this is an area where you're targeting growth per se, but with the disposal to close later in the year natural declines, I suppose production will step down, as we look into 2025. So I just wanted to ask around that whether acquisitions on the E&P side on the Energy segment is something you are considering to sort of moderate the production profile at all? And then my second question would be on refining if I could. Just would love to get your perspective on whether you're able to comment on where refining margins have exited the quarter? And what your sort of prognosis is for the -- sort of some of the weakness that we've seen? I think middle distillate demand, the diesel demand has been much talked about in terms of being pretty weak in Europe, but now gasoline cracks seem to be sort of disappointing versus seasonal expectations and perhaps that has something to do with the supply side of things. But I'm just interested on your perspective there if you could. Thank you.
Alfred Stern: Very good. Thank you Matt. Let me start with the first question around M&A. And you're correct. We continue -- we stay committed to our production goal of 350,000 barrel per day by 2030. Our guidance for this year is 330,000 to 350,000. Based on our current portfolio we have Malaysia as a divestment. As I said, we expect closing in the second half of the year of this transaction. So, then we have Neptun Deep as a development project, which will make a significant contribution. But there is still a gap that we need to close in order to make sure that we deliver on this 350,000 BOE per day target that we have. Unfortunately, we always -- like I said, before we always look around and try and make sure to drive our implementation forward as quickly as possible. At this stage, nothing that I can report to you, but it is -- inorganic is a possibility also in the energy sector not just in the renewable power, as I described before, but also to make sure we can meet our 350,000 BOE per day target by 2030. Then your second question on refining indicator margins. And I just want to make a little excursion here, before I dive into this, because I think we are sometimes not explaining enough our Fuels & Feedstock business here. Because when you look at that business, it's really more than refining. And in particular, our Retail and Commercial business continues to perform strongly also here now in the second quarter of this year. But looking at the first half of this year, the first six months about half -- roughly half of our result in the Fuels & Feedstock business came from Retail and Commercial. And we expect this to continue also in the second half where the third quarter is typically the strongest quarter for this particular business. So there's multiple aspects to this, because in the retail business we don't only have fuel business but also non-fuel business that is showing good growth. We are also seeing the electric charging on our EV stations ramping up and so on. So this is a business that we continue -- that we expect to continue also in the second half of the year. Now the second piece, I want to mention is that, the first half of the year we were also bringing on that co-processing unit in our refinery in Schwechat that has reduced the utilization rate and this is now fully operational. So not only do we expect sales coming from this but also we expect now our utilization rate across the network to be significantly above 90%. Now with these things said, the refining indicator margins, we see significant volatility in those. We saw in April, they dropped to $6 per barrel. In May, then they went back up to $8 only to finish then with an average of $7 for the quarter here. So I would expect that maybe we see -- we continue to see some of the volatility here in July. Beginning of July, we saw the margins drop down a bit below $6 per barrel. And we will see then for the rest of the quarter and for the rest of the year, how this will pan out exactly. In any case, we do uphold our full year guidance of about $8 per barrel indicator margin for the refineries. Maybe just as a final remark right, to put this a bit into perspective, we are saying -- in our sensitivity guidance, we are saying that a drop of about $1 in indicator margin causes about €90 million in reduced cash flows in a full year, which means half year it's about €45 million. And if you look at the total cash flow delivery first half of the year about €3 billion, so that you can just put that into a bit of perspective.
Matt Smith: Perfect. Well, thank you very much. I appreciate all the color.
Florian Greger: Thank you very much, Matt. And now we come to Henry Tarr from Berenberg.
Alfred Stern: Henry, good morning.
Henry Tarr: Good morning, and thanks for taking my questions. The first is just on the Russian gas and the pipelines. So could you remind us what the current Russia gas deliveries are? And then on the pipeline rights that you've now sort of tied-up, I guess, you're moving to a point where you don't need Russia gas. But are they flexible on the supply side here. I guess, if the -- if you switch from Russia pipeline to LNG, what happens on the other side? Can you reflect that through or higher prices to your customers? And then the second question is, just a little bit on the SAF and HVO outlook. You mentioned in the remarks there that you see that the market being sort of tight after 2027. There's obviously a lot of moving parts in there, but there also seems to be a lot of capacity being built in Europe. I just wonder sort of again, what confidence you have around the outlook for biofuels as you look towards 2030? Thanks.
Alfred Stern: Okay. Thank you, Henry. Let me start with the Russian gas question and the pipelines. And I can confirm we are now in a position where we have diversified our supply sources in such a way that we can supply all our contract customers with non-Russian supplies if the supply from Gazprom stops. So we have also that pipeline capacity to make that possible not just in Austria but also internationally. So from this perspective, we are no longer dependent on the Russian supplies to be able to fulfill our supply obligations, which is an excellent position to be in. Now as regards to the flexibility, the Gazprom contract that we have is a take-or-pay contract. So as long as Gazprom is able to supply to the contractually agreed supply location, which is the Slovakia and Austrian border, we are obliged to at least pay if we don't take the gas. Since -- also the 14th sanctioned package in the EU does not have any sanctions against bio plant gas from Russia we take a business decision and we continue to offtake that gas. But at the same time, we do also have a sophisticated legal strategy. We have launched multiple arbitrations against Gazprom starting in the beginning of 2023 that are running, and therefore I cannot report any details of it. But hopefully in the second half of this year, we will be able to report on the progress. On the prices, the prices are really developed on the regional hubs. So in Austria there would be the CEGH hub in Germany THE in Holland, the TTF hub and depending on demand supply and also some expectations what markets do. We have seen some nervous reactions to supply outages in Norway, or a little bit longer ago strikes in Australia and things like this. There might be additional reactions that are not just factual but also driven by estimates of people. So from this perspective, I do think that these prices will continue to react if Russian supplies come out -- the Russian supplies of OMV to Austria in the European picture add a very small percentage of the total quantity. So simply volumetric that would be a very small driver for demand supply balance.
Henry Tarr: Okay, great.
Florian Greger: SAF/HVO you had another question.
Alfred Stern: Thanks Florian for reminding me. Yes, so the SAF/HVO mandates that are coming -- that are in place now in the EU starting with next year with a 2% SAF/HVO mandate. And then by 2030, 5% mandate that is there. That will, of course, drive the demand dynamics because also the way these mandates are legally structured. There is both fines, but a catch-up obligation if in one year you don't meet the mandated volumetric mix. And all our simulations are indicating that both for HVO but also for SAF after 2027, the market will be rather short despite all the capacity that is being built. And we have -- as you can see right there, SAF/HVO plant in Romania that will come on stream 2028. So beyond this period, in order to make sure that the necessary demand is there, in order to do that there will be a premium to the SAF that will have to be significant, but that is also significantly covered by the fines and by this catch-up obligations that are legally mandated.
Henry Tarr: That’s great. Thank you very much.
Florian Greger: Thank you, Henry for your questions. We now move to Michele Della Vigna, Goldman Sachs.
Q – Michele Della Vigna: Thank you very much. And two longer-term questions, if I may. The first one is on recycling and the circular economy in Chemicals you are clearly one of the leaders in the industry. I was wondering if you could help us a little bit, to assess the materiality of this business? If you could tell us for instance, how much you expect it could contribute to your EBITDA on a near-term basis so let's say, 2025 and longer term to 2030? And then secondly, going back to renewable diesel and SAF. I was wondering how you're thinking about feedstock? Because some of your competitors are going more and more for vertical integration into waste sourcing or even into rotation and are agriculture. I was wondering, what you're thinking on that front and what your strategy is? Thank you.
Alfred Stern: Okay, Michele. Let me start with the recycling question. And you're correct, with the activities that we have in Borealis on mechanical recycling and with our proprietary ReOil technology that we are also now globally licensing. We are one of the frontrunners in this area. And what our objective here is that by 2030, we have about 1.4 million tons of circular chemicals in our portfolio. And what I should describe, a little bit what we mean with the circular chemicals, because it's really mainly three big pieces. One is, mechanically recycled plastics. This is where we are the furthest progressed. The technological maturity is the best. And Borealis has about 180,000 tons of mechanical recycling capacity today and is already also selling this quantities on the market -- these mechanical recyclates in the market today. They have also now made some acquisitions of -- in Bulgaria of Integra Plastics, for example, to grow this further. They have made before that acquisition in Italy, Reality Plastic that makes recyclates for automotive industry and moving this forward. So mechanical recycling is one part of this 1.4 million tons of circular chemicals. The second piece is, really that the chemical recycled piece where we are deploying the ReOil technology and that part is converting really plastic waste that would otherwise be incinerated to bring it back into virgin chemicals or virgin chemical qualities. And we have today, a pilot plant running in our refinery in Schwechat that produces about 1,000 tons of this ReOil chemical recycled products. And we have completed the construction now of our 16,000 ton ReOil plant also in the refinery in Schwechat that will ramp up in the second half of the year. We have lots of discussions, with companies and making contracts to make sure we can sell those quantities also, but they are ramping up. Now, we are in the planning stage of building a 200,000 plant, which would be the full scale. And last but not least, part of this 1.4 million tons of circular chemicals is also bio-based chemicals where we have also sold. So basically ethylene or propylene or benzene, where we are using bio-based feedstocks like -- where we crack instead of fossil naphtha we crack HVO for example. We are also doing all this. Today, already we have contracts where we supply Covestro for example with such chemicals, where we have just this morning announced that with Clariant together we are exploring to decarbonize the ethylene supply chain in order to get there. So we have not given specific EBITDA targets for our chemical -- circular chemical business but what we did clearly specifies that the returns that we expect from these circular chemical investments just like all our other sustainable investments is at least a double-digit return but IRRs that are in line with our classic investments also. The second question that you had was around feedstock for renewable fuels. And the -- we have put a lot of activity in -- to make sure we have sourcing complete not just for the co-processing that is now running where we are sourcing 160,000 tons of bio oils to co-process in our refinery in treasure, but we also have about 80%-plus of the feedstocks for the Petrobrazi plant secured where we just made the FID in this quarter. How do we do this? It's normally a mixture of three different things. One is long-term off-take contracts that we have in this area to secure the feedstock, but we also have JVs partnerships where we are working together with other people and/or acquisitions into these kind of areas. One such example would be the acquisition of a share in Respira Viad in Romania, where we are sourcing some amount of these bio oils than for our activities in the biofuels area. But also into some trading companies there we have also opened a trading desk now in Asia in Singapore in order to make sure that we are making having capability for securing the feedstocks not just in Europe, but also globally. So really good progress in securing that feedstock, because we do think that will be one of the bottlenecks in the differentiation to others.
Florian Greger: Thanks a lot Michele for your questions. And next is Matt Lofting, JPMorgan.
Matt Lofting: Thanks for taking the question. Just two quick ones for me. First, I wanted to come back to Gas & Power. You referenced the adverse legislative effects earlier. I wondered, if the degree to which the trading contribution in Q2 was also weaker? And if so whether the key factor behind that were broader market dynamics? Or any knock-on from the Brazi power plant downtime on the east side of the business? Just trying to understand how that piece may perform comparably into Q3 and the second half of the year? And then secondly, I noticed that you mentioned several times the strong performance of Retail and Commercial. It struck me that some industry peers with similarly strong positions disclosed or split out the financial results. Just wonder why OMV doesn't do that in order to better show the consistency and returns of that business? Thank you.
Alfred Stern: Yeah, Matt, thank you very much. I think your second question I'm not sure, it's a question or a feedback and I want to just indicate, yes, you're correct. It is a good contribution. As you could see we also made two smaller acquisitions to round out that portfolio to make sure that we are well-integrated into the retail business to ensure high utilization of our refineries also in the midterm. So we will reflect on your comment concerning this. Then Gas and Power maybe I could say the following to this and then see if maybe Reinhard has some additional comments. Yes, we had scheduled downtime for maintenance reasons in the second quarter. This went well and is finished and we are back in operation. So there was a contribution to this. Then the second question around the Discus business. I do think from a seasonality point of view historically we always see the first quarter of course being a strong quarter because of the storage result that we have right? So basically this is just part of the nature of the business that we see in the first quarter.
Reinhard Florey: Maybe only a few things to add. You asked for the trading part of the business. And obviously in Gas East the trading part as such is traditionally small. However, we also have there a business that is around storage. And it is true that also within this regulation the level storage required has been up. This means that we had to put gas into the storage which is a temporary effect in Q2 which ultimately probably in Q4 come back as a positive when there's more gas that we can take out and trade form the storages. So traditionally in Gas West, the trading part is a little bit higher than in Gas East. There we had a successful business. And we are seeing that this is also something that is quite continuous over the quarters whereas the storage business ultimately leads to cash out in Q2 and Q3 whereas we have a cash in beginning late Q4 and then specifically with a stronghold in Q1.
Q – Matt Lofting: Very good. Thanks very much.
Florian Greger: Thank you, Matt. We now move to Bertrand Hodee, Kepler Cheuvreux.
Bertrand Hodee: Yes. Hello. Two questions if I may. So first in -- again in Gas Marketing & Power. In June at your Capital Market Day you issued a guidance for recurring operating profit of around €300 million. Does a change in Romania legislation is changing your medium-term guidance for this business East and West? And the second question is I was a bit surprised to see your comments even if I obviously noted it's a very strong cash flow performance in H1 plus 3% or even plus 50% if we exclude the working capital effect. And so I was a bit not surprised but very reassured by your underlying comment about potential shareholder distribution. And should we assume that if the macro developed I would say similar to your underlying assumptions for H2 that total shareholder distribution dividend plus special dividend could be at least the same as of last year meaning €5.05 per share?
Reinhard Florey: Bertrand, happy to take this question. Maybe starting with the first one gas power. Actually the change in legislation in Romania happened prior to our Capital Markets Day. So whatever we said on the Capital Markets Day was already taking into account effect of the change in legislation. However, please take into account that this is a temporary legislation. And we are not expecting these levels of I would say additional curbing of profitability lasting in Romania, so that we can also come back to normal levels there again. Then your second question was on the overall level of expectation for shareholder return. Let me be very frank we are not giving a guidance on the distributions that we will give for the year 2024. If you take the overall cash flow generation that we have in operating cash flow including net working capital and that's the basis actually specifically for the total amount we are on a good way. Circumstances in 2024 certainly are more challenging than they have been in 2023. But you have seen in our capital allocation priorities that we have a very high priority to shareholder return and whatever is possible to distribute in the context of our strategy in the context of the results we can perform in also the second half. This will be strong priority for us also to return this money to the shareholders. When it comes to the operating cash flow maybe just to mention there have been some special effects in Q2 that need to be taken into account because they will not recur in Q3. So for instance we had some payments for the solidarity taxation in Romania as well in Austria EUR 250 million in Romania. This has been -- for the year 2023 this will not recur later on in this year, but also in the next years because the solidary taxation has been terminated. In Austria, we paid some €20 million for 2023. And we are not expecting in 2024 this will be a significant amount either. When it comes to other areas where we are not expecting that kind of negative effects specifically the cash tax payments in Norway where we traditionally have in Q2 and in Q4 two installments to pay so therefore Q3 will be probably by some €200 million stronger in cash generation because that does not have to be paid in Norway. And then there are some other smaller one-offs. For instance in Romania traditionally you pay your income tax only for the first time in Q2 for the full first half. And that means that this amount that we had there in the amount of €80 million will only be half in Q3 and in Q4.
Bertrand Hodee: Thank you. Can I just ask just a follow-up question on your Gas Marketing & Power? So you are inching that these changes legislation is temporary. How long will it last? And can you quantify if it was extended, what could be the annual impact in terms of operating income missing?
Reinhard Florey: Well, first of all, yes, it has been put up with only a temporary period which is until end of this year. And we have not specified exactly what the amount is. But as you have seen traditionally a small -- a triple-digit million contribution from Gas East and this will be only double-digit part. You can imagine that it's about this kind of difference that we have here, so between some €50 million and €70 million as a rough estimate.
Bertrand Hodee: Thank you.
Florian Greger: Thank you, Bertrand for your questions. The next is Paul Redman, BNP Paribas.
Paul Redman: Hi. Thanks very much for the time. The question I have was -- I've got two actually. The first is on working capital. It looks like you've had positive working capital movements in 1H '24. I just wanted to see if you have a view on how that will play out through 2H 2024, because it's important for your distribution program next year? And then secondly just to go back to your -- the questions you had on feedstock. You talked about this trading desk in Asia and Singapore. And you've also talked about tight feedstock markets being one of the key drivers later in the decade. Is that desk, or are those desks able to trade, i.e. buy and sell and make, essentially become a profit center? Or is it just to acquire feedstock for OMV? Thank you very much.
Alfred Stern: Paul, thank you. Let me just start with your second question. And I think on working capital Reinhard will answer the question. This trading desk what I wanted to say with this -- so this is in a start-up mode, Paul. So whether the task for these people was really to secure a feedstock for our plants to make sure that we can competitively source feedstock for less sustainable fuel plants. That was the main purpose of this activity.
Reinhard Florey: And your first question Paul on the net working capital expectation for second half, I think we have to differentiate in the second half 2024 on how the net working capital movements will develop. Q3 traditionally is a quarter where we store gas, which means that we will increase net working capital, whereas, in Q4 we are starting extract gas from the storage and that will lead to a cash outflow, or a cash inflow in that sense for -- from net working capital. The other element is of course our general inventories and that is very much also linked to the development of the market prices. So when we are seeing for instance inventory effects as we have seen in chemicals as a negative in Q2, the flip side of that is of course the net working capital effect that goes the other way around. So you have a positive net working capital effect. So therefore if prices continue to increase we will have then a negative net working capital. If they are continuing to come down we will have a positive one. That is very much depending on the market developments. In the sense of what we are guiding for it is rather neutral and we are not expecting a major cash in from net working capital here, whereas, we're still working on some inventories and we are seeing that the inventory level still can be brought down as we do not have any turnarounds. So, therefore, I'm expecting in general a slight positive number in net working capital for the second half.
Florian Greger: Thanks a lot Paul for your questions. This brings us to the end of our conference call. And we would like to thank you for joining us today. Should you have any further questions please contact the Investor Relations team. We'll be very happy to help you. Goodbye and have a nice day.
Alfred Stern: Thank you very much. I wish you a wonderful day. Thank you.
Reinhard Florey: Thank you. Goodbye.